Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2015América Móvil Conference Call. My name is Alex, and I’ll be your operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host Mr. Daniela Lecuona, Investor Relations Officer. Please proceed.
Daniela Lecuona: Good morning everyone. Thank you for joining us to discuss our first quarter of 2015, financial and operating results. We today on the line, Mr. Daniel Hajj, Chief Executive Officer; Mr. Carlos Garcia Moreno, Chief Financial Officer; Mr. Oscar Von Hauske, Chief Operating Officer; and also with us, Carlos Robles, Chief Financial Officer from Telmex. Daniel, please go ahead.
Daniel Hajj: Good morning. Welcome to the call and Carlos the CFO is going to make a small summary of the results. Carlos Garcia Moreno Thank you. Good morning everyone. In the first quarter of the year, we saw some strong job growth indicator in the U.S. that buoyed expectations of a more rapid economic expansion in that country and possibly also in the rest of the world, helped along by quantitative easing in Europe and by oil prices that remained depressed worldwide. There appeared to be a good chance that economic activity would pick up in the industrialized world. Whereas such improvement would potentially benefit Latin American countries it would also lead to greater financial volatility in anticipation of interest rates being raised in the U.S., which in turn could negatively affect the region. We ended March with 368 million access lines after net additions of 125 thousand in the quarter. This figure includes 289.6 million wireless subscribers, 34.5 million landlines, 22.3 million broadband accesses and 21.6 million PayTV units. Brazil was our largest and fastest growing operation. We finished March with 108.3 million access lines, 5.8% more than the year before. We added a 197,000 wireless subs having disconnected prepaid clients in some countries, mainly Ecuador and Peru that were not meeting traffic standards. But in the postpaid segment we had net gains of 592,000 clients in the quarter including 273,000 in Mexico, that’s our second best showing ever and 240,000 in Brazil. Central America as a block was our fastest growing region in postpaid with 15.3% with Brazil and Mexico expanding their postpaid subscriber rates at an 8.8% and 7.2% rate respectively. Our postpaid base increased 4.6% year-on-year to 60.1 million subscribers, that’s already including Telecom Austria [ph]. Brazil is now almost as large as Mexico in terms of wireless subscribers. Colombia contributes 10% of our service followed by TracFone in the US with 8.9%. Our operations in the Argentinean block represent approximately 7.6%, while those of Europe and Central America each one account for 7%. At the end of March we had 78.3 million RGUs, after disconnecting 674 thousand broadband accesses in Mexico in the last quarter, as we revised our disconnection policy. On a year-on-year comparison, our fixed-RGU base increased by 4.6%, with PayTV units expanding 7.0%, broadband accesses rising 5.0% and fixed lines growing 3.0%. Our consolidated revenues were up 3.1% in peso terms from a year before to 220 billion pesos, with service revenues rising 0.6%, while our EBITDA declined 3.1% relative to the prior year to 68.2 billion pesos as our consolidated EBITDA margin came down to 31%. At constant exchange rates service revenues rose 1% and EBITDA fell 2.1%. The deceleration observed by service revenues reflects among other things the impact of the various regulatory measures implemented in Mexico including the elimination of termination charges for calls that terminate on our networks, and of national roaming and long distance charges, the latter ones from January 1st of this year, on both the mobile and fixed-line platforms. In Latin America data revenues increased 14.9% on the mobile platform and 10.8% on the fixed one at constant exchange rates, with PayTV revenues climbing 9.9% and voice revenues down 10.5% in both the mobile and fixed-line platforms. Most of that has to do with the impact in Mexico. The South American block continued to be the main driver of service revenue growth at 4.6% year-on-year at constant exchange rates, followed by Central America and the Caribbean with 3.8%. Whereas in Mexico they were down 6% on account of the measures mentioned above. In the U.S., and I’m trying to differentiate now Latin America from the other regions. In the U.S., service revenues rose 7.3% and in Europe they were flat at constant exchange rates. Our operating profit was down 6.6% from the prior year to 37.7 billion pesos, after taking into account depreciation and amortization charges that rose 1.6%. By the way most of the growth in depreciation and amortization charges happened in Brazil and that has to do with the increased levels of investment that we’ve had in that country. Our comprehensive financing cost stood at 24.2 billion pesos as we incurred foreign exchange losses of 17.8 billion pesos, mostly on account of the sharp depreciation of the Brazilian real versus the U.S. dollar, the value of which shot up 21% in the quarter in real terms. Foreign exchange losses arose from intercompany loans; the currency position vis-à-vis third parties presented a net gain of 7.2 billion pesos. We obtained a net profit of 8.2 billion pesos in the quarter. It was equivalent to 12 peso cents per share or 16 dollar cents per ADR. Our net debt at 536 billion pesos, was up slightly from December and was equivalent to 1.75 times last twelve months EBITDA. Our capital expenditures reached 29 billion pesos and our share buybacks and dividends 11.4 billion pesos. On April 17th, our shareholders approved the spin-off of a new company called Telesites, the assets of which mainly comprise approximately 10,800 towers and other passive infrastructure used by our wireless operations in Mexico. It will have a net debt of 21 billion pesos. We expect the spin-off to take effect by July and obviously after the spin-off the net debt to EBITDA rates of America Movil will come down to about 1.68 times EBITDA. So we are continuing to move towards the target of 1.5 that we would have as our new impact [ph]. So with that I’d like to finalize this part of the call and give the floor back to Daniel.
Daniel Hajj: Yes, can we start with questions please.
Operator: [Operator Instructions] Your first question comes from the line of Vera Rossi with Goldman Sachs. Please proceed.
Vera Rossi: Thank you, good morning. I have a question on Mexico and then one on Brazil. First on Mexico, what are the plans to divest in assets and what type of asset mix would be considering saddling at this point? And on Brazil, if you can talk about the performance of the six line business that has slowed down you saw this quarter and growth relatively to the other quarters and the reasons for the slow down, is it change in IT systems or is the weak economy or all other reasons behind this is slowed down? Thank you.
Daniel Hajj: Well, good morning Vera. On Mexico, what we said in the last call is that we’re still interested in being not preponderant player. So at the beginning we have a plan to divest some assets. What will the new let’s say, view of how is Mexico, the new companies that are coming, AT&T buying Iusacell, AT&T buying Nextel. So we’re reviewing what we would the interest and how we can reduce our market share. I don’t we think we’re interested anymore in selling assets as assets. We don’t want to sell frequencies or infrastructure. So we’re reviewing exactly how the market is going to be in Mexico and then we’re going to take the decision, what we’re going to sell to reduce our market share not be a preponderant player. So we’re still interested in that, but we’re taking really a close look on the market and what will be our alternatives to do that. In Brazil, I think Oscar can talk a little bit more deeply, but we’re still I think winning market size in the big size, in TV. We don’t have the results on the market of - how the market is developing, but I think it’s a little bit the weak economy because we’re still gaining market in Brazil, but Oscar can talk a little more on Brazil.
Daniel Hajj: Thank you, Daniel. Yes, if you see net sort of issues still growing pretty well in fixed line and in broadband as well and as well in PayTV. We’ve been reducing the growth in satellite TV. This is due to the fact that we are strengthening our credit offering in the market place, because we start to see last year an increasing churn. So we changed our policy about contraction of the customers. We are charging some installation fee. So we are focused more right now not only in growth as well we want to improve the profitability of the satellite TV. We believe that June, May, we will see a different trend in satellite TV. Another one is the corporate market is pretty steady. There is a lot of erosion in prices. There is a lot of competition there. But we’re keeping our market share, so we are softening a little bit in prices, but in total I think we are going pretty well in Brazil.
Vera Rossi: Okay, a follow-up question about Mexico. Would you expect Daniel, to make a decision and announcement about divesting [indiscernible] Mexico in 2015?
Daniel Hajj: We don’t have a date, difficult to say. We don’t want to take any decision until we decide exactly what we want to do. We are interested in divesting and reducing our market share, but we don’t know exactly how we want to do it. So until we don’t see really the market in Mexico, then it is what we are going to take the decision as to what to do is the better. We don’t have a time. We don’t have clarity right now on the market. So as we say, we are well prepared to compete as we are today as we’re not preponderant with rules that we have as preponderant player. We can’t compete for the long-term there. So we don’t want to take any decision until we have a clear clarity on the market in Mexico.
Operator: As a reminder, ladies and gentlemen, please limit yourself to two questions. Your next question comes from the line of Amir Rozwadowski with Barclays. Please proceed.
Amir Rozwadowski: Thank you very much for taking the question. Just a follow-up in thinking about sort of the dynamics in Mexico after May, certainly it seems that I understand some of the changes to the regulatory environment in long distance that you are seeing fairly healthy growth with respect to mobile data. How do you expect those trends to play out over the mid to longer term particularly given some of the shift in dynamics when it comes to competition and the desire to reduce your position? It does seem as though there is a stronger trend with respect to mobile data adoption and you folks are benefiting from that. So I’m just trying to understand sort of the different moving pieces between competition, reducing position in this sort of underlying secular growth. Thanks very much.
Daniel Hajj: Well, I think in Mexico, data is growing 10% and in wireless, data in fix is growing 8.8%. So we are doing well. In all around Latin America, you’re seeing that you have less minutes of use and more data usage. In Mexico we are not changing anything. We are investing in 4G. We are giving more [indiscernible]. We are swapping with smartphones, LTs, smartphones, putting fiber to the note, having the best network, let’s say, the state-of-the-art network in Mexico for data and we don’t have any change of that. We are going to give a very good data service to our customers and it’s what we’re investing for. So that will be very important. Still a lot of the prepaid subscribers doesn’t have data. They are in the really low segment of the market. They are only consuming the voice, with still phones that doesn’t have a broadband big speed. So I think those subscribers are going to still use, but we are moving very fast all the subscribers that have the possibility to spend a little bit more to use data.
Amir Rozwadowski: Thank you and then in terms of a follow-up question, looking at the TracFone business in the U.S., it seems sort of the competitive landscape shifts a little bit where traditional postpaid customers and prepaid customers are sort of blending a little bit more here. How do you think about that business strategically going forward in this new era where there really isn’t many contracts on traditional postpaid? Thank you.
Daniel Hajj: Well, I think that our MVNO TracFone is a very good company. It’s been very successful in the United States. We have 26 million customers there. The competition is increasing. You see more aggressiveness in the competition there. You see that we don’t have a good growth in this quarter, but it’s mainly to a brand that we have that it’s the program of the governmental Lifeline and our brand called SafeLink that because you have to decide on the houses, you cannot have two of these programs. So some people decide to stay with one company and the other one and that’s where in this quarter we have to disconnect some of these subscribers. But all overall we are doing good Straight Talk and Total Wireless, our new brand is growing. They are growing well. So we are happy. But we feel that the market is going to be more competitive, but we are well preparing the prepaid to compete there.
Operator: Your next question comes from the line of Rodrigo Villanueva with Merrill Lynch. Please proceed.
Rodrigo Villanueva: Thank you. Good morning. I was wondering if you could share with us the terms on pricing of the infrastructure sharing agreements that you recently published. That will be my first question.
Daniel Hajj: Yeah, well, on that question, Telcel is going to rent to Telesites. We have prices in Mexico because we also rent to all their companies and we have prices in Latin America. So the prices and the agreements that we are going to have with Telesites are the same prices that we have with the other competitors. So our prices that our market prices in Mexico and in Latin America and very important Telesites is going to rent at the same prices to all the other competitors. So at the prices that Telesites are renting to Telcel are the same prices that Telesites are going to rent to any other company that wants to rent their tower. So it’s a market price what we are having and Telesites is going to give the same prices to the other ones.
Rodrigo Villanueva: Thank you very much, Daniel. My second question would be related to the MVNO company that you created. I was wondering if you could share with us what’s the reasoning behind the creation of this new company?
Daniel Hajj: Well, we have a new brand called [indiscernible] it’s a low segment brand and there is going to be a lot of MVNOs in the market in Mexico and we want to test to the competition and to see how these new brands in the market are behaving in the market and really at this time that’s really the reason why we create [indiscernible] to go to really the low segment of the market. So this brand is not for the medium or high end subscribers. It’s more for the low-end subscribers, not prepaid. We have special conditions in this brand or special prices in this brand that we don’t have in the other ones for the low segment. So that’s what we are testing. There is going to be a lot of brands. So we want to see how these new brands are behaving.
Operator: Your next question comes from the line of Richard Dienen with UBS. Please proceed.
Richard Dienen: Thanks very much, maybe just a little follow-up on Telesites spin-off which looks really interesting. Firstly, just wondering how advanced you are in setting out the commercial operation of the Telesites? Is there a CEO or manager? Is there a sales force? Does that need to be built? Just wondering how long it might take to get things up to full speed? And then secondly, you have maybe, I don’t know, the precise number, but maybe sort of 30, 35000 other towers in Latin America. Just wondering if you see Telesites a little bit like of kind of proof of concept exercise that might ultimately lead to other tower transactions or is this just very specific to Mexico given the regulatory situation there? That would be fantastic. Thanks very much.
Daniel Hajj: Well, on the Telesites, when we do the spin-off, we spin off the towers and some people, also some people that work in that business on the tower business in Telcel, we are going to spin-off that people. So part of the people is going to be spin-off are the ones that are running the company. So the company is not going without people, so it’s going with some people. The other who is going to be the managers of the company? Well, the managers are going to be - the general assembly of Telesites is the one who is going to decide who are going to be the managers of that. There is not going to be any managers from America Movil. So it’s going to be totally transparent and nobody from America Movil is going to manage the Telesites, not in the board, not in the management. The other question was related to? I don’t have the number, but we have a - I remember that we have around 60,000 towers in Latin America. The decision right now it’s only in Mexico and we don’t have anything - any discussion or we are not even thinking about doing anything else in the rest of Latin America at this moment. So right now we are only spinning the Mexican towers and that’s what we have right now.
Operator: Your next question comes from the line of Kevin Smithen with Macquirie. Please proceed.
Kevin Smithen: Thanks. With the changes to long distance at the beginning of this year, do you now feel like you are feeling the full impact of the Telecom reforms on your EBITDA or do you think there is still incremental pressure from here? And I guess from a cost standpoint, now that you know what the impact or revenue and margins will be, what can you do on the cost side still in Mexico and how about flow through the P&L over the next two years?
Daniel Hajj: Well, I think the regulatory changes start I think in April or May as they declare us as preponderant players with some specific regulations like the roaming. We cannot charge anymore roaming. Then in August, the law, we have the law and there is another regulations like the interconnection rates going down to zero and other things and on January we have the long distance, now we’re not [ph] charging any more long distance in Mexico. At this time, these three steps, we are accomplished with everything and I think it’s going to take some time for the company and for the market to instead of selling long distance, sell other services and mostly in prepaid when people have and elasticity in prepaid I think it’s going to come faster than in postpaid, but at this time there is not going to be any more rules that are coming. I think we’re accomplished with everything that [indiscernible] is putting to America Movil. So we have accomplished all the rules, every detail of the rules were accomplished and well, still the comparison, it’s going to take a little time because every rule enter in a different timing, but there is not going to be any more rules on that. I think data still is going to take a lot of this. You are going to see that less minutes more data and I hope that data will take what we lose on the long distance and other services. We are also making a big effort on cost and control the expenses. So it’s what we are doing here in Mexico. But very important, we are still investing a lot. We want to have the best technology, the best infrastructure and we are focusing a lot on that.
Kevin Smithen: And then just on TracFone in the last week, we’ve seen Google officially enter the market as a MVNO. We’ve seen Comcast still fall apart. When you think about some of these potential new entrants into the wireless landscape in the U.S., are there opportunities for partnerships with your TracFone business? And how do you think about TracFone in the evolving telecom landscape in the U.S.?
Daniel Hajj: Opportunities for our TracFone business I think, there is going to be a lot and we’re open to see any opportunities on TracFone. At this moment, we are working. We still feel that we have full advantages in the market. We know how to operate prepaid. We have a very good brand. We have good distribution. So we are working with a lot of carriers. We are not only working with one carrier. So we are well diversified in U.S. As you are saying, there is going to be more competition and there is going to be opportunities of course and we are open to opportunities and we are going to hold opportunities that we have. But still the strategy is to grow the business and expand more our prepaid business in the U.S.
Operator: Your next question comes from the line of Andrew Campbell with Credit Suisse. Please proceed.
Andrew Campbell: Sure. Hi, good morning. I wanted to go back to the topic of the Telesites, kudos once again and my question is on the mechanics of the spin-off with regards to the ADR holders. I realize that it may not be a 100% defined, but do you have an idea of how the ADR holders are likely to be compensated, if you believe it’s likely to be an over-the-counter distribution, if it’s likely to be cash? Any additional thoughts on that would be much appreciated. And then my second question is on 4G spectrum auctions, because I recall that there are some markets where you’re likely to have outflows this year to buy spectrum, I think Argentina, Ecuador, Puerto Rico, so could you maybe just give an update on if there are any significant outlays for spectrum coming up? Thank you.
Daniel Hajj: Well, on the Telesites, we are having the - information of statement we have old information and until we don’t have and we don’t operate ADRs, we are not going to see - we are not going to know exactly what will be the taxes, but you can review the information of statement and see if there is something still missing there and until we don’t put to operate ADRs, it’s not going to be there. The second is I think in Argentina, they already sold the license last year. In Ecuador we bought some license also last year and we are putting 4G in all these countries. We are investing in Argentina. We are investing in Ecuador and we are investing in 4G in the new technology in all the countries that we have the opportunity to do that. So we have big rollout in 4G and we are moving a lot of our subscribers from 2G to 3G and a lot from 3G to 4G. We have much more affordable handsets in 4G, so the prices are much more affordable for all the people in Latin America. So the rollout is there and there we’re moving very fast, very fast the subscribers to have more broadband in wireless.
Operator: Your next question comes from the line of Michel Morin with Morgan Stanley. Please proceed.
Michel Morin: Yes, good morning. Thank you. So first on Mexico fixed line business you were down sequentially 8% and obviously we know long distance impacted, but I’m just wondering if you can give us a little bit more color here, because I think on the last conference call, you had really downplayed the downside risks here suggesting that there would be a less density and maybe inability to change pricing to offset the blows, so where things worse with the impact, worse than you had anticipated? And then related to that you did a write-off of some broadband subscribers in Mexico and I was hoping that maybe you can give us a little bit more granularity on that. I mean what would have been the performance in broadband if you were to exclude this change in policy and was the change only in Mexico? Thank you.
Daniel Hajj: I’m going to answer your second question. The disconnection of the broadband that we have in the fix, it will have not the disconnection, it was a new policy that we have. We are reducing to 60 days the policy in that, so if you could see even the revenues on broadband are going up a little bit or the same. So these disconnections that we are having are not hurting the revenue. So it’s only policy, a new policy that we are doing in Mexico. And the other thing, well, there is a lot of competition in Mexico. We have new glances there and everything is going the way we think. We have the new plan called 333 plan that we are adding a lot of more things in our plans and we are being okay the way these plants are behaving and the market is competitive in prepaid. The market is competitive in wireless and the market is competitive also in the fix. So in Mexico, it’s a lot of competition. Even the market, the competition in this market is not only for the last year and all. We have been having a lot of years competing in Mexico, the price per minute in Mexico in wireless is around $0.02, so 17% less last year, but you could see one of the lowest prices around the world. So Mexico has been competitive for the last year and I think it’s going to be more competitive in the future. So, I don’t know if Carlos wants to add something.
Carlos García Moreno: I think basically we’ve had this question before in our conference calls. What we have said is that there were a number of countries, certainly in Europe [indiscernible] through the same process where they had eliminated national long distance charges for the effect of these - effectively compensated by elasticity. That’s what we have said before. We have asked you to look at telecom analysis in Europe because I think that they’re very much aware of this and if not we [indiscernible] telecom analysis that follow these. But in any event I think it’s important to note that we did not by any means imply that the elasticity effect happened all in one quarter and this has been exactly one quarter since the measures were implemented. So I don’t know that anybody else in the market had any expectation that whatever elasticity effect we are likely going to have from this was expected to happen in one quarter. Thank you.
Operator: Your next question comes from the line of Carlos Legarreta with GBM. Please proceed.
Carlos Legarreta: Thank you for taking the question. Basically I would like to know your outlook for competition in Colombia and your expectations on margins going forward. Thank you.
Daniel Hajj: Colombia has been very competitive market, Columbia and Peru, that’s a lot of competition there and we are deciding to compete there. So the prices are going down very fast in Peru, even a lot of subsidies are coming. So we are going to compete there and if the market is more aggressive, we are going to be aggressive and I don’t know for how long we are going to have this tough competition in Columbia to be a more - to establish [ph] a little bit more. Let’s say in Columbia we have the price per minute is going down 20% in Columbian pesos [indiscernible]. It’s been taught that competition, but we are prepared to compete and we are going to compete in those countries and we are going to be also very careful on EBITDA, on the margins, but first we want to compete and then I think that’s going to go to, let’s say, [indiscernible] for the next month, maybe, it’s going to be a little bit more tough competition.
Carlos Legarreta: That’s very helpful. Thank you and if I may, just a final follow-up, if I’m not mistaken this is the end of a five-year plan to invest $10 billion, 10 U.S. billion in CapEx, is there any expectation to adjust that in the future? Thank you.
Carlos García Moreno: I think that last year was likely going to have been the peak year in terms of absolute levels of CapEx, we invested roughly $1 billion before spectrum and this year the CapEx infrastructure is going to be slightly lower than last year. I think from CapEx to sales, we have seen the peak and in absolute terms we have also seen the peak. I think that if you look at where we have spent the money, it’s been mostly the deployment of fiber optic all throughout region. We have increased from slightly less than 300,000 kilometers to roughly 500,000 kilometers of fiber optic networks. This includes as Daniel was pointing out fiber back home. It includes metropolitan rings. It includes some backbones and also even the cables that we built that connect all of South America through the U.S., through Caribbean and Mexico. So in a way we have built the highways, the need to be built for CapEx for data services. Those are done, for the most part in the bigger countries and the other area where we spent our funding was the continued expansion of OG footprint and to extend it also 3G. I think this is more modular,. It’s mostly electronics. It’s something that is not going to be costly. So I would say that for the next phase that we are going to be looking at the next five years, we are going to have less of these highways that I mentioned and these are going to be more local roads by the way of residential accesses. We’ve been doing it in Brazil. I think [indiscernible] I think the best where we are going to go in the future, we have now the [indiscernible] part of the infrastructure behind us. Now it’s going to be getting closer access to the clients with top of the line networks, the state-of-the-art networks.
Operator: Your next question comes from the line of Mauricio Fernandes with Merrill Lynch. Please proceed.
Mauricio Fernandes: Thank you. Carlos or Daniel, it looks to me with the - on Telesites that 21 billion pesos in net debt they will have based on the statement provided so far on America Movil in 2014 excluding Telesites. Telesites would have EBITDA of approximately 2 billion pesos, in which case it would imply debt to EBITDA of ten times for Telesites, is - I just wanted to check if that’s rough the number that you are aiming to have at Telesites at least at the beginning before EBITDA can grow? Thank you.
Carlos García Moreno: Well, Mauricio, I don’t recall if it’s ten times or whatever, but there are two things to note. One, the tower companies by their nature tend to be more leveled entities as you look at the various tower companies that are publicly traded in the US, you will see that they tend to have relatively high leverage wages and that is simply because they have very stable cash flows. They are not subject to market liability. They are getting paid month in and month out by a few clients that happen to see the use of these towers as a strategic part of our business - of loading business. So certainty of these cash flows is very high and that’s why the rating agencies allow them to have much leverage than it would be the case for instance, for our regular telecom operator. You also have to consider that it is the case that the value that you create with the towers and you mentioned here that the tower companies typically trade at nearly 20 times EBITDA as opposed to six times or so for a telecom operator. The reason they create like this is because they also can derive more revenues from all the clients, without that having any impact at all over on costs. The maintenance cost of that what we’re saying [ph], for you have one tenant or two tenants or three tenants and I think the towers will have some capacity by which the new tower company will be able to take on new tenants, new clients that will pay them additional revenues at no additional cost. So that’s why you shouldn’t focus too much on the leverage on day one, but rather you should focus on how that leverage is expected to evolve overtime, how the revenue raise increases, how they’re getting more tenants on the towers. That’s what I would say, but it’s a good business, it’s something that is very much liked be some type of their investors for dealer pension funds and it’s a type of business that as indicated what some of the utilities can do with higher levels of debt and it’s one in which the expectation is that they’ll be able to derive good synergies by bringing new clients to used towers.
Mauricio Fernandes: Got it. Thank you, Carlos. And one more on the regulatory changes in Mexico so far. Is there any way to estimate, I know given the package it’s difficult to know this, but is there any way to measure how much revenues in Mexico impacted by the transition of the [indiscernible] business into local. And secondly could you share with us, how much of your costs are interconnection today? Thank you. Be fixed line or mobile.
Daniel Hajj: Well, Mauricio, I think the number for long distance in this quarter was around - last year we had around $200 million distance in [indiscernible] all over all. In the interconnection, I don’t have the number right now, but Daniella can give you the number on how much we have on the interconnection. So it’s around $200 million what we used to have in long distance, last year’s first quarter.
Operator: Your next question comes from the line of Sunil Rajagopal with HSBC. Please proceed.
Sunil Rajagopal: Thank you. I’m just wondering if you can give me more details about the Brazilian operation’s weakness in this quarter. When I look at the numbers, I see the minutes of usage have dropped about 34% year-on-year and the outputs are down about 14% year-on-year. So if you can give more color on that that would be great? Thank you.
Daniel Hajj: Well, I think what is happening is that in Brazil the growth in data has been very good. So people are starting to use lot less minutes and a lot more data. I think in prepaid it’s one of the countries that has a revenue share on data. It’s more than 50% of our share is data this time, so that’s really the reason why the minutes of use are going down. We have around 30% increase on data and I think Brazil is one of the most advanced countries on using data in wireless. So I think really that’s the reason. Also it’s helping a little bit the economic situation in Brazil, everything is declining a little bit, so the economic situation - the slow down on the economy is also helping to reduce the minutes. So those are the two main things that we have there.
Sunil Rajagopal: Sure, thank you.
Operator: Your next question comes from the line of Valder Nogueira with Santander. Please proceed.
Valder Nogueira: Yeah, just a follow up on the previous question, I understand that the data usage is gaining lots of room, its outpacing voice. But have you noticed change in the portfolio of how clients are topping up or recharging their phones because of that, because not necessarily what you gain on data is more than offsetting the drop in voice. But is it a matter of the portfolio of the top up because we’re seeing some operators in Brazil, clearly being benefit by being bolder in data and being able to capture that top up vis-à-vis competitors because of a good data offer. But have you perceived any change in the average top up or in the period that compresses one top up from an order?
Daniel Hajj: Well, also something that I forgot to say in the previous question is that 33% interconnection rate, the price of the interconnection rate is down again. So in Brazil we have been reducing the interconnection grape for the last three years around 30% or 33% every year. So it’s been tough. It used to be the interconnection rate in Brazil, used to be maybe 30% of our revenue space, but every day use less what - reduction in the interconnection rate is. Further important is that there’s a little bit more change let’s say on the competitiveness of the market. I think some of the competitors are increasing a little bit to the prices on voice, the prices on data, the prices on the packages, so we used to leave them to use all the data they want, then right now we’re coping and they have to recharge again. So there are more rational competiveness in the market in Brazil. Prices are going a little bit up, so you have to pay a little bit more for every recharge that you do in prepaid. So there is some changes that we’re having in Brazil on the plans and on the competition.
Carlos García Moreno: I think one thing that you ensure that - you’re looking at revenues. The reduction in the connection rate [Indiscernible] I mean backed on revenues. But the interesting thing for us is that the net effect has actually benefited us overtime, which is not captured if you only look at the revenue part, you will look at the net interconnection because we have [indiscernible] with the we call our own revenues, which is basically our service revenue minus what we pay for the networks for instance for interconnection. And on that basis service revenues in Brazil are going 8%, okay. So that’ basically means that - whereas gross voice revenues are coming from because of interconnection. Net revenues somehow are basically improving. We are seizing to pay less. I think the interconnection, if I remember correctly, interconnection costs that we pay towards operators came down by 38% year-on-year.
Valder Nogueira: Yeah, so you’re saying what’s more fair to assume would be to take a look at the blend of not only the [indiscernible] evolution, but the evolution of the IX cosma, Ix revenues minus Ix cost [ph], that evolution and blend both?
Carlos García Moreno: Exactly.
Valder Nogueira: Okay. Thanks, Carlos.
Carlos García Moreno: Thank you, Valder.
Operator: Your next question comes from the line of Alejandro Cuadrado with BBVA. Please proceed.
Alejandro Cuadrado: Hi, morning Carlos. You provided a very good explanation of why CapEx should come down by end of 2015. But I would like to know if you could quantify the amount of - if you could give us something more specific of what’s the amount of CapEx that we should expect over the next five years?
Carlos García Moreno: I don’t know, I think at this stage what I would say is, that the - maybe fixed component of CapEx which was - what we were doing before we would further [indiscernible] it has changed significantly because I think from here now on it’s going to be probably less than half of what we used to have. I think the variable component, which is what I was referring to, which is residential accesses, that’s the one that we’re going to play with and it is going to be very much a function of how we see the different markets to the extent like we are having today in Brazil. That we get traction by doing a triple play and that makes sense to expand more to residential clients. We will be doing that and if we see good opportunities in Brazil, we’re not going to be shy about investing in the business. So I wouldn’t want to put a number only to say that the part that goes to the more ample part of the platform, which is the fiber optic network, that is for the most part already deployed certainly in the bigger countries. And now going to residential - [indiscernible] is going to be very much something that we can play with, we can accelerate it, we can slow it down, depending on how we’re seeing the market, okay. But again I don’t want to give a wrong impression. We will not be shy about CapEx, if we see good sense for growth as we’ve seen in Brazil and Colombia and we’ve seen not only in Mexico.
Daniel Hajj: And also we’re not going to be shy in the CapEx if there is new technology or there is technology who can give us better cost safety and reducing cost. So I think we have around 70% of the fiber to the note it to our sales sites in Latin America, so we’ve been advancing a lot to put all the full technology there, LT technology in place. So of course if there is coming the other technologies in the future, of course we’re going to have, but the investments for these new technologies, we have been putting in place and advancing a lot. A lot of our CapEx is going to data and to all these technologies.
Alejandro Cuadrado: Okay, but I understood. So basically you said that that the fixed component could be reduced. I understand everything that you said, but the fixed component could be reduced by 50%, what’s the percentage of these fixed component from the overall CapEx?
Carlos García Moreno: I mean I don’t want to give you now an explanation, but I think the fixed component I would say is approximately $3 billion.
Operator: We have time for one final question and it comes from the line of Andre Baggio with J.P. Morgan. Please proceed.
Andre Baggio: Hi, good morning everyone. So [indiscernible] competitive environment in Brazil, are you already noting that the environment is improving in a sense that there is one competitor which is in a weaker position in terms financial leverage and that could be helping in a sense to improve the competition. And what do you think that America Movil, having investments in the countries where the payoffs are having like say the best [indiscernible] data specially in mobile?
Daniel Hajj: I don’t hear you the question. We don’t hear you very well, can you repeat it please?
Unidentified Speaker: The question is actually if the competition improve in Brazil, we’ll see probably [indiscernible]. And when we should see Clado having the best of data metric because if they’re having investments that America Movil has been doing?
Daniel Hajj: Well, as you could see in the new measures Anatel, we’re having the best network in Brazil in terms of quality. So all the investments that we are having are saying that we have the best quality and the best performing network in Brazil, so that’s very important, I think that’s something that at the end of the day the customers are going to - they like that, they need that, so we’re working on that. And we’re still in our program to integrate all over companies operationally, not only - we need to still operate and integrate all the companies in the data platforms in all of the IT and in other places. So as you were saying well, OE it’s weak, but it’s weak on the numbers, but in the market it’s still aggressive and it’s been doing good. So I don’ know for how long they’re going to do that, but OE has been competitive in the market and BO and [indiscernible], still the competition is stopping. But I think it’s going to more a rational competition because two or three years ago it was really the brightest and the things that the market has been having are really aggressive. So today it’s a little bit more rational what everybody say. A lot of competition, but more rational competition.
Carlos García Moreno: And Andre as you know we have been firm believers that to carry mobile data you really need a fixed line platform and it’s a good fixed line platform. That’s why we bought Telmex, that’s why we bought Telmex International and that’s why we have been investing $10 billion per year since 2011. So what we have invested in Brazil has been big money and we now have 90% of the diverse with fiber back holes for instance and we have as I said, a lot of metropolitan - in only major cities in Brazil. So that obviously is giving us the edge in terms of the infrastructure relative to practically any other player in the market. And that is at the end of the day, what will be driving our competitiveness in Brazil, Andre. It’s the quality of the network, we have the best network in Brazil.
Operator: And that concludes today’s Q&A portion. I’ll now like to turn the call over to Mr. Daniel Hajj, Chief Executive Officer for final remarks. Please proceed.
Daniel Hajj: Thanks everybody for being involved. And thank the host of the call also. Thank you very much.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.